Operator: Ladies and gentlemen, welcome to the Basilea Pharmaceutica’s Half Year Results 2023 Conference Call and Live Webcast. I am Alice, the chorus call operator [Operator Instructions]. The conference must not be recorded for publication or broadcast.  At this time, it's my pleasure to hand over to David Veitch, Chief Executive Officer. Please go ahead, sir.
David Veitch: Hello, I'm David Veitch. I'd like to welcome you to our conference call and webcast reviewing our financial results and key achievements for the first half year 2023, as well as highlighting upcoming milestones. For further detailed information, please see the ad hoc announcement issued this morning and also our half year report, these documents are both available on our Web site at basilea.com. I'd like to mention that this call contains forward-looking statements. Joining me on our call today are Adesh Kaul, our Chief Financial Officer; and Dr. Marc Engelhardt, our Chief Medical Officer. I would like to start with a brief summary of our key achievements. Most recently, in early August, we submitted the new drug application or NDA to the US Food and Drug Administration for our antibiotic Zevtera. Cresemba, our antifungal for invasive mold infections, has continued its commercial success in the first half of 2023. Its global in-market sales exceeded $393 million in the 12 months ending March 2023, which is a 14% increase year-on-year. Of note, after gaining approval in Japan in late 2022, our partner Asahi Kasei Pharma, launched Cresemba in this commercially important market earlier this year. Our financial performance in the first six months of 2023 was very strong. Today, we reported a 57% year-on-year increase in Cresemba and Zevtera related revenue. We're also very pleased to report an operating profit of CHF36.9 million, resulting in a significantly improved net profit of CHF31.9 million. We concluded the first six months of the year with an increased cash and restricted cash position of CHF112.9 million. Our financial strength is also evidenced by the reduction of our net financial debt by more than CHF22 million to CHF38.1 million. With Cresemba and Zevtera, we have demonstrated our ability to take anti-infective drugs from research through clinical development to commercial success. As we continue to establish ourselves as a leading anti-s company, our strategic focus is to expand our pipeline with valuable assets. This will be achieved by advancing both our internal research programs and by in-licensing or acquiring promising compounds. I will now hand over to Adesh.
Adesh Kaul: Thank you, David. I would like to start first with a short update on the commercial performance of Cresemba, a key driver of our strong set of financials. I will then highlight some of the key financial figures that we published today. I'd like to mention that all figures I refer to are in Swiss Francs, unless specifically stated otherwise. On a global level, Cresemba 12 month sales continue to show double digit growth with initial contributions from China where our partner Pfizer launched in mid 2022. The overall positive trend through the first half of 2023 was demonstrated by multiple milestone payments triggered by Pfizer related to achieving certain sales levels in Europe and the Asia Pacific and China regions. We see significant growth potential for the brand going forward. Cresemba continues to gain market share in established markets and is the biggest selling product by value for the treatment of invasive mold infections in the US. We also expect to see increasing contributions from China and also Japan where Cresemba was launched only this year. These two countries alone represent approximately 25% of the global market opportunity for Cresemba. The commercial success of Cresemba is reflected in our strong financial results for the first half year 2023. Cresemba and Zevtera related revenue amounted to CHF80.5 million, which is a 57% increase year-on-year. Included in this number is royalty income, which increased by 27% year-on-year to CHF36.7 million, directly reflecting the continued growth of Cresemba in-market sales in the key territories. Total revenue increased by 47% to CHF84.9 million. Total cost and operating expenses amounted to CHF48 million with operating expenses decreasing by 28% year-on-year, reflecting the successful focusing of our business on anti-infective and the completion of the ceftobiprole Phase 3 program. This resulted in an operating profit of CHF36.9 million and a net profit of CHF31.8 million for the half year versus losses in the previous year period. I would now like to provide a little bit more context on our Cresemba and Zevtera related revenue. Royalties have been increasing year-on-year since 2015, reflecting the in-market sales performance of Cresemba in the major territories. Milestone payments have been more volatile. We have been recording milestone payments every year since 2017 with generally larger amounts since 2021 as compared to the period before 2021. Product revenues to our distribution partners as well as certain deliveries to Pfizer are also variable as deliveries happen in bulk and depend on the manufacturing schedules. However, the general trend for product revenue over time is as well reflecting the increasing demand for our brands across the world. If you look closer at 2023, you can see that we expect continued growth in royalty income in the second half of the year in spite of the unfavorable US dollar Swiss Franc exchange rate trend. We also expect a significant increase in product revenue with the second half of 2023 expected to account for around 65% of total full year product revenue. Revenue from milestone payments is largely de-risked for 2023 as the majority of milestone events expected for the year have already occurred in the first half of 2023. The increase in cash flow contributions from our marketed drugs has been driving the consistent improvement of our net cash used for operating activities over the past years. Supported by the factors just discussed, we became cash flow positive in 2022 and have been able to increase cash flows from operating activities to $21.9 million in the first half of 2023. In the first half of 2023, we have used our positive operating cash flow to start repaying our senior secured loan as planned. We have repaid CHF18.4 million of our loans, which is around 25% of the initial CHF75 million. We are planning to repay a further 25% of the loan in the second half of 2023 and intend to have it fully repaid by September 2024. This would mean that the only remaining debt as of the end of 2024 would be our CHF97 million convertible bonds, which are going to mature in mid-2027. Based on our strong financial performance and prospects, we're increasing our guidance for the full year 2023. Cresemba and Zevtera related revenue is expected to increase more than 20% to CHF147 million to CHF150 million with a continued double digit growth in Cresemba royalties to approximately CHF76 million, and CHF33 million to CHF34 million in milestone payments, of which 90% have already been secured in the first half of 2023. Total revenue is expected to amount to CHF157 million to CHF160 million, taking into consideration that we expect lower reimbursements from BARDA now that the ceftobiprole Phase 3 program is nearing completion. Cost of products sold are expected to increase to CHF25 million to CHF27 million and operating expenses are expected to decrease to around CHF80 million. Bringing all this together, we expect an even more significant increase in operating profit than previously guided for of now CHF50 million to CHF55 million and the net profit of CHF41 million to CHF46 million. Our guidance excludes the potential impact from any in-licensing or acquisitions. In any event, our healthy financial situation allows us to build and progress a strong R&D pipeline to support the long term growth of Basilea. I will now hand over to Marc for the portfolio update.
Marc Engelhardt: Thank you, Adesh. So let me start with Zevtera and Advanced Generation cephalosporin for the treatment of bacterial infections for which we've just submitted an NDA to the US FDA. Based on its pharmacology and anti-bacterial spectrum, the data from various Phase 3 studies in the post marketing experience, we considered ceftobiprole an excellent treatment option in difficult to treat patients presenting to the hospital with severe infections when the clinician suspects involvement for positive pathogens, including Methicillin-resistant Staphylococcus aureus or MRSA. For these patients, ceftobiprole provides a single agent first-line bactericidal treatment option with proven efficacy in SAB, ABSSSI and CABP. The US is the most important market for commercializing branded hospital antibiotics and is estimated to account for up to 90% of global sales for anti MRSA treatments as shown by Dr. [Misin] in ceftaroline. Considering the need for anti MRSA antibiotics in the US, this is why one of our key priorities is to gain access to the US market for ceftobiprole. Our NDA submission in early August 2023 underpins this strategy, with the NDA we are seeking approval for SSBA, ABSSSI and CBP based on three successful completed Phase 3 studies in these indications. The SSBA and ABSSSI studies were supported by and received significant funding from BARDA. Following the NDA submission, the FDA will decide within 60 days whether the review process can start. ceftobiprole’s QIDP status, which provides for a priority review of six months compared to 10 months under standard review. Therefore, we expect the FDA to decide on the NDA within eight months after submission, which means in second quarter of 2024. As the QIDP status also provides for additional market exclusivity, a 10 year market exclusivity period would start at the date of approval. In line with our business model, we plan to commercialize ceftobiprole in the US with a partner and intend to enter into such a partnership prior to the FDA decision on the NDA. If ceftobiprole was approved in the US, we would envisage to lead the launch with SAB, because we believe that SAB is the indication with the highest medical need supported by the data from the ERADICATE study, which was the largest randomized study performed in SAB for registrational purposes of a new antibiotic. Based on the profile of ceftobiprole and the available data from clinical study in skin infections and pneumonia, we anticipate a broadening of the use into other disease areas over time and ceftobiprole being used in these indications whenever staphylococcus aureus and especially MRSA are important cause of pathogens or when the gram-negative coverage provided by ceftobiprole is also desirable. Now let's move to Cresemba. In the EU, market exclusivity is until October 2025 and can be extended by two years based on Cresemba’s Orphan Drug Designation, the completion of a defined pediatric program and the subsequent European committee decision. The pediatric clinical study program with Cresemba included two clinical studies and this program was successfully completed. So we're on track with the pediatric label submission to EMA in the second half of 2023 and we expect the pediatric labeling would be obtained in 2024. The successful completion of this procedure will trigger the market exclusivity extension until October 2027 in the EU. In the US based on the QIDP and Orphan Drug Designation, the current market exclusivity is until March 2027. A pediatric labeling by the FDA would extend the market exclusivity by six months to September 2027. To support the utility of Cresemba in the pediatric population, we have also developed a smaller capsule and we are convinced that Cresemba, if approved, will address important medical needs in the treatment of invasive aspergillosis and mucormycosis in children. I'll now turn over to David.
David Veitch: Thank you, Marc. Before we open the floor for questions, let me close with a quick summary and an outlook. We reported very strong financial results for the first half 2023, where we continue to significantly increase our revenues and reduced our operating expenses, leading to a significantly increased operating profit as well as net profit compared to 2022. With the NDA submission, we are also in parallel progressing discussions with potential partners for the commercialization of Zevtera in the US, which we intend to execute prior to the FDA's decision. While partnerships for commercialization are one part of our business model, complementing our portfolio by in-licensing or acquiring further anti-infective assets is key for us too in order to build and progress a strong R&D portfolio. When looking at potential candidates, we are focused on antifungal and antibacterial assets from late-stage preclinical research to the end of Phase 2. We put a strong focus on innovation and differentiation, but also importantly consider commercial viability as a key factor, and whether assets could benefit from the existing push incentives and potential new pull incentives, which are currently being implemented or in progress. We believe with our strong track record, our expertise and our financial strength, we are the partner of choice when it comes to taking anti-infective drugs from research through development to the market.  Thank you for your attention, and we'll now open the line to your questions.
Operator: [Operator Instructions] Our first question comes from the line of Louise Chen with Cantor.
Louise Chen: So I wanted to ask you a few. First, where do you stand on a partner for ceftobiprole in the US market, and who's the ideal partner for you? Do you think we might hear an announcement before the end of the year or more likely in 2024? How do you think about expanding your product portfolio? I know you addressed a little bit, but maybe a little bit more color on where you see the best opportunities. And then lastly, any important cash milestone payments that we should be focusing on in the next 12 months that we should be modeling into our financial model?
David Veitch: Let me -- actually, Adesh, do you want to take first of all the where were with the partnering for the US for ceftobiprole?
Adesh Kaul: So as you're aware, we have been actually in discussions with potential partners for quite some time. Given that we have now clear timelines based on submission that we've done, we're getting now into -- I would say the decisive phase of our partnering. And hence, we're now looking at getting to a point where we'll see which of the partners eventually align or potential partners align best with our vision for the product, with the goal, as you indicated, to have actually a partner signed on prior to the regulatory decision next year. Your second part of the question was about the ideal partner or the set of partners that we're discussing with. And in essence, I think you could more or less say there are three buckets or three types of partners or potential partners we're talking to. First of all, more or less the obvious candidates where you say companies that are already marketing hospital antibiotics. Those companies would have synergies with their existing infrastructure and would benefit from those synergies. Secondly, there are also companies that have already an existing hospital sales infrastructure but that are looking at expanding their business to additional specialties in this area. And thirdly, there are partners that, or potential partners, that may not have an existing sales infrastructure in this specific area, but are interested from a strategic perspective to enter this space as they see significant potential in an area of high unmet medical need going forward. So these three types of potential partners and as I said previously, in the course of our discussions, we'll have to see where our vision for the product aligns best with the vision of the parties participating in the partnering process.
David Veitch: Let me take the question about the expanding the portfolio to give you a little bit more color. I mean, Louise, from our perspective, we are looking at, and I alluded to this in the words earlier, we're looking at antibacterials antifungals. We're not particularly driven by driven necessarily traditional versus non-traditional approaches. So both are open to us. We're looking at assets from the late preclinical to the end of Phase 2 across both those areas. And as I said, our key thing is about can we see a way to differentiate the product and can we see a way for the product to generate meaningful commercial returns. And they're sort of some of the key criteria we use when we assess assets. And the final thing to say is and we said this earlier in the year, we are actually confident enough to say, repeat again that we hope to be able to show execution of such transactions in 2023, as well as obviously on an ongoing basis. Maybe your last question was about cash milestones coming. Adesh, do you want to take that?
Adesh Kaul: So for this year, as we have indicated in our guidance, in essence, we believe that we could achieve eventually milestones in the range of CHF33 million to CHF34 million. And as you've seen at the half year, we already reported CHF30.6 million. So in essence milestone events for the second half of the year are quite limited, put it that way as we have already achieved most of the goals. For going forward, it's difficult to really say when and to which amount we would actually be achieving milestones. But what I would like to point you to is that in the last few years, if you just take an average, we have been on average recording CHF30 million to CHF35 million in annual milestone payments and we have actually no reason in general terms to believe that going forward that that's going to be fundamentally different.
Operator: The next question comes from the line of Brian White with Calvine Partners.
Brian White: I've got financial question to begin with and that's really about the Cresemba and if you have any insights that you can share with us regarding its performance post launch in key new markets such as China and Japan. And then back to the kind of partnering activities, and I guess more of a general question about, have you been pleasantly surprised about the quality of potential in-licensing opportunities? And I guess then finally, just thinking about your ability to secure any of these programs, is it really just a financial transaction do you think, or does Basilea have more to offer potential partners to secure these contracts, do you think?
David Veitch: Just let me attack the question about the Cresemba. I mean, what I would say is, obviously, we haven't reported on the specific China and Japan data. But what we can clearly show is globally, as we alluded to in our words a moment ago, Cresemba from a sort of in-market perspective is still nicely double digit growing as a compound, it's almost $400 million of global sales. What I would refer you to, which is sort of is public information from Astellas recently is that their six months of net sales in the first six months of this year versus the first six months of last year was in excess of 20% year-on-year growth. So even in our most mature market, this is the volume market share that you can gain with this product year after year after year. That gives us the confidence to believe that this should continue to grow until peaking in the 2027 period. So China and Japan, all I would say there is that there's no reason we would believe that they should do -- perform worse than any other markets that have been launched. And they occupy about, as Adesh said in his words a moment ago, they occupy about 25%, we believe, of the potential for Cresemba, and that's really would just clearly start -- I mean, Japan's just launched in this half year, China, and we launched last year. So we see all the signs pointing towards the analyst expectations for this compound, have peak year sales at sort of 600 million to 800 million range. We see no reason today why that's not achievable. But that sort of answers our view, I think, of the Cresemba point. In terms of the in-licensing opportunities and the quality of the assets that we're looking at. I mean, Adesh or Marc, do you want to comment on that? Because clearly, it's not -- from us, it's not like a -- when we apply our criteria, it's not a massive volume game in terms of the number of the assets, antibacterials and antifungals, but clearly there are assets that we are attracted to. But maybe Marc and Adesh you want to comment?
Marc Engelhardt: I would completely agree. So we see several antifungal and also antibacterial compounds and programs that are clinical stage of late preclinical innovative addressing unmet medical needs and have the potential of being commercially viable and attractive. So I would clearly say that the quality of potential in-licensing opportunities is good. I think your other question was whether this is a financial consideration only. And from our experience what partners are looking for is of course has a financial component, but also has a component on reaching out to a development partner that has the knowledge and experience, the track record and the infrastructure to deliver on these assets. And we believe that we are seeing by many of the partners we've been speaking with and we're speaking with as such a partner.
Adesh Kaul: So the only thing I would add is to build on something that Marc said. I think financials or financial structure is only really a challenge if we're in discussions with parties that are looking for an exit in essence. But a lot of our parties are looking similar as we do for Zevtera over the lifetime of an asset. And then of course, it's the ability and the commitment that you're bringing to maximize the value of that. And I think that's basically where we can truly leverage our experience and track record.
Operator: The next question comes from the line of Soo Romanoff with Edison.
Soo Romanoff: A lot of my questions have already been answered, but it was nice to see the Zevtera NDA submissions. Could you give us an idea of the distribution model and if it's going to be similar to the Cresemba approach?
David Veitch: Adesh, you want to take that, in terms of if that is our thinking at the moment?
Adesh Kaul: So in essence we have successfully managed licensing and distribution models for Zevtera, we would be open for both. But in general, I think the way that we think about it is really that we would maintain responsibility through our CMOs for global supply just given our existing partnerships outside of the US as well and the economies of scale with respect to manufacturing. So probably we’d find the structure where we would keep on supplying a partner and we would then be participating through some royalty structure in the actual sales.
Operator: The next question comes from the line of Ram Selvaraju with H.C. Wainwright.
Ram Selvaraju: Just a couple of quick big picture ones. In terms of what you would expect to accomplish potentially on the in-licensing or asset acquisition front. Can you talk through what you expect to do with those assets, assuming that they are successfully in-licensed and developed successfully, and if you expect them to effectively fit into the model that you've used for Zevtera and Cresemba? And also as an adjunct to that, whether you expect to ever establish your own commercial infrastructure in the United States and if so, what criteria might determine that?
David Veitch: I'll make a comment and then I'll also ask Adesh to jump in. But I mean, I think in essence we feel that for this stage in our evolution as a company, the model we have where we in-license compounds late research through to the end of Phase 2, as Mark said, then develop them with the capabilities that we've got, all the cross-functional capabilities to take a compound from research all the way to the market, but then look for a partner to commercialize, whether many different players then come into the frame in terms of more big pharma that are willing to commercialize, but don't do the research and development themselves. So we feel that there's lots of sort of small companies doing innovative research, there's lots of big companies doing commercialization. But in the anti-infective space, we fill this sort of gap really, we think that in the value chain where -- and we think it works for us as a model. I think in terms of, would we ever one day in selected markets like the US commercialize, I think, we probably -- you can never say never, but you do need, I think critical mass. And so clearly that's obviously one reason why now we're looking for and discussing with partners for ceftobiprole in the US, because of the fact that we haven't got a portfolio of compounds. Cresemba is successfully with Astellas. So we only have Zevtera. So actually our model for the foreseeable future, I think, makes incredible sense to us. We think it's a very effective model. But Adesh, would you add anything?
Adesh Kaul: The only thing is that we would of course also take into consideration just financial considerations in the sense that if there are any new pool incentives and so on that would make it, for instance, more attractive to just commercialize or lead with a single asset, for instance, that's certainly something that we would take into consideration. So it's more or less like building on what David was saying, we are not trying away from commercializing but not for the sake of commercializing ourselves, but if it makes sense from a value creation perspective.
Operator: [Operator Instructions] The next question comes from the line of Dan Akschuti with Pareto Securities.
Dan Akschuti: Hello everyone, and congrats for the stellar results and continuing to positively surprise the market. One question I would have is on the Zevtera market, in general, if you have any kind of insights from let's say South America where it's already commercialized that you think would also apply to the US that kind of help you gauge the potential as well in the US if you could mention some details here that would be appreciated?
David Veitch: Dan, I'll make a, a comment and then I'll hand over to Marc. But I think there's one important sort of aspect that we found actually when way back in 2014, ‘15, when we were commercializing ourself in Europe, the Zevtera, we found that one of the key aspects of the drug, which is why we focus on it, I think, in Marc's comments earlier, is this MRSA activity. So one of the key reasons why people use the drug is it's a broad spectrum antibiotic, but it has usefulness against MRSA, which obviously limits the number of competitors that also are effective against MRSA. And that's what we focus a lot on that in terms of delineating the potential of the product. The other comment I would just say is that whilst MRSA can occur in many geographies of the world, it's very different, the prevalence in the US is significantly of the developed markets of the world is significantly the biggest market, which is why Marc said earlier, up to 90% of the potential for the compound is in the US. So the US has a big sort of commercial potential due to the MRSA prevalence versus other markets of the world. And then the other thing, which is also very different and Marc can come back to this, but is the indication that we would have. So the indication in the US, to remind you, is SAB and then skin and then community acquired pneumonia if we were to clearly get a positive decision in Q2 next year, and that's different, the SAB indication has not been, except the study has only just been completed. And so actually we haven't got that same indication. And this is the indication, and maybe this is the segue to Marc to comment, that we believe is the sort of -- is the real sort of value creating indication. But maybe on that note, I'll just pass over to Marc.
Marc Engelhardt: This is also what comes out on the discussions we have with experts in this field. I think they clearly prioritize on the SAB indication. It's a complicated infection with a high medical need. Only few drugs that are really used for MRSA, SAB. And I think clearly ceftobiprole is a product for complicated hospital infections. And I think that in the US, the strategy would clearly be to build on the SAB data. And then as we have broader indications with ABSSSI and community wide pneumonia there is -- if it's approved, of course, then there is potentially not to just have more wider scope going along, but I think the medical need and the strength of the data are strongest for the SAB indication.
Dan Akschuti: Just to follow up a bit on the antibiotics, as there's a bit of a shortage [Indiscernible] US doctors in June about that. Is that something you are considering in terms of manufacturing, is it going to be maybe even an opportunity for you or do you see any risks for like manufacturing slots at your partner site? Or is there any implications that you could share with us?
Adesh Kaul: So I think from our perspective, I think, we have basically the capacity that we need. We're not concerned from that perspective. So it's not that that our manufacturers would sort of reallocate the slots. When it comes to opportunity, I think, the question is less from a manufacturing side. The question is basically what is available in the market to treat disinfections. So if the shortage eventually concerns key MRSA drugs that would probably be an opportunity for Zevtera, but that's really more the way that we are looking at it. So it's not the shortage itself that creates an opportunity.
Operator: [Operator Instructions] There are no more questions at this time. I would now like to turn the conference back over to David Veitch for enclosing remarks.
David Veitch: Okay. Thank you very much for your interest everyone. And enjoy the rest of your day. Thank you very much.
Operator: Ladies and gentlemen, the conference is now over. Thank you for choosing chorus call. Thank you for participating in the conference. You may now disconnect your lines. Goodbye.